Operator: Dear, ladies and gentlemen, welcome to the Conference Call of Thyssenkrupp. At our customers’ request, this conference will be recorded. As a reminder, all participants will be in a listen-only mode. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] May I now hand you over to Claus Ehrenbeck, who will lead you through this conference. Please go ahead.
Claus Ehrenbeck: Yes, thank you very much, operator. Hello everybody also on the behalf of the entire team, I would like to welcome you to our conference call today. Conference call will be on Q4 numbers, fiscal year numbers and of course the outlook for 2021 and we will also have a section in our presentation in which we will go through the value levers that our business has identified to drive the structural improvement going forward. The conference call will be hosted of course, by our CEO Martina Merz and our CFO, Klaus Keysberg. Both will share the presentation and all the documents for this conference call, you can find on the IR section on our website. And with that, I would like to hand over to Martina to start the presentation.
Martina Merz: Thanks Claus. Hey all, Martina speaking. First, thank you for your participation in the call today. We’ll be leading you through the presentation, which is about a long one and I’m looking very much forward to having a good discussion afterwards. First, with the presentation, we want provide a recap for what we’ve accomplished in the last 12-months. First and foremost, and by far the biggest step in the strategic realignment of the Group, was at the beginning of the year by the sale of the innovative technology business, which we closed successfully on July - these had of course transformed our balance sheet substantially and turned our net debt to a net cash position of €5.1 billion. In addition, we’ve significantly increased our equity, up to more than €10 billion. With this repave the pace the way for more restructuring and business development going forward. And I can assure you that we continue to focus all our energies on substantially improving the performance of our business. Moreover realizing the best owner concept for all earmarked businesses is also progressing. As you are all aware of we received non-binding offer from Liberty Steel, Europe, which we are examining at the moment with an open mind of course, and we are ensuring we achieve at the end of this process, the best possible results for our stakeholders. That means we continue to explore options for industry consolidation, we narrowed already the range of options. And at the end of the day, we believe that we can come to a final decision in spring 2021. For plant technology we received indicative offers for different constellations the due diligence is almost complete, particularly for mining and cement. It is a bit different. I would, say it is different for the chemical business, as we’ve observed in the last month very strong dynamics in the market for hydrogen technologies, at least say which we have not seen before being this strong. But yet, now consequently, we are currently examining how we can strengthen our fundamentally strong starting position in this growing market for partnerships. I think I can go a with that further by saying we believe that in the process of hydrogen technologies we are in and have a very strong competitive position in large scale of water electrolysis plants. For ASP, our stainless steel operations in Italy, we have been approached by numerous parties. This does not come as a surprise to us, because the business is well positioned. Nevertheless, for ASP it is far too early to draw complete conclusions. But together with an investment bank, of course, we will thoroughly evaluate the expressions of interest received. On top of that, we are also making visible progress in restructuring of our business. Last year for our entire organization we reduced personnel by more than 5700 FTE’s. And to cope with long-term market developments and the effects of the pandemic, we have accelerated our initiatives and thus end our restructuring targets now in the next step from 6000 FTE’s to 11,000 FTE’s. Besides all of restructuring and portfolio initiatives, enhancing performance is still essential part of our new group of company concepts, together with our businesses we defined value leader which Klaus later on will lead you through in detail. And also of course, we define then together with the businesses structural improvements fiscal year going on and beyond. We will provide you more details on that in the second half as said in the presentation. All of this sets paid into our performance in this fiscal year and beyond. It reflects a step up in our operational performance on the back of the execution of our value lever and also it reflects us slight of course a market recovery. Alongside we will leverage our leading steelmaking expertise for ultimately working towards climate neutrality and green steel offerings with our strong concept TK’s Hydrogen deal and H2 electrolysis. So, on the next slide, it is a little bit complicated, but actually the slide you should see in front of you now, these four phases, this is actually our transformation plan, which we follow very stringently and disciplined. We have a plan how to make steady through for the future and we use of course, this plan constantly for internal and external communication. Let me illustrate now, what this sideways view as we call it, what this means in detail. We divided our transformation into four phases. In the first phase, which we call fight, we dealt in particular with the impact of the coronavirus pandemic, we sold in a consequence, elevators business as the prerequisite for everything to come. In the second phase, focus, we are now restructuring our portfolio. We made fundamental decisions as said before, with the announcement of our new target portfolio in May and we are on the way to implement this portfolio structure which will make our company smaller, but more profitable. And in addition, of course, with this focus, we can much more disciplined allocate our capital through promising businesses generating value going forward. In the third phase, which we consider we are on the way to this phase. Now, the third phase improve will run in parallel now, which it is about increasing competitiveness in all areas regardless of whether we intend to develop the businesses as part of the group or not. The restructuring, we have initiated and in part already implemented as well as our value lever are an example of this. And let me say a few things in more detail. Of course, leadership makes in such a turnaround the difference and in the first part of course, in a leadership approach it means that we try and we are on beating the odds. We uniquely and ambitiously reframe what it means to win. We make multiples and we are making really multiple moves early and methodologically in this focus step and we reallocate constantly frequently to focus our resources on priorities. So leadership SF is absolutely key in this phase we are in. And after all, once we have achieved our path to competitiveness, of course after that then we can start about the process to scale the business up, that requires having competitive businesses in order to achieve positive goals again. Size in itself is not a relevant measure for us. It is profitability of course the cash and value generation of the company. And, as you can imagine, the phases mentioned we’ll not necessarily run sequentially, as our business segments because enterprises they are in of course are different with that too. But one thing is clear, we will make further substantial progress along the curve over the next 12-months. Let me mention this at this point too. Of course, the question can be centered on the long-term while for Thyssenkrupp. Everybody is asking for that. We believe, I believe it is very important for the organization to clearly focus on delivering a positive free cash flow at this point in time. And not using too much resources for thinking beyond. That our clear priority, and this is why you do not hear us talking constantly about this long-term why. We want our people to understand that we have a clear priority at this moment in time, this is to optimize all what we are doing trough, profitability and positive free cash flow. So we are really focused fundamentally and with all we can our resources on turning the company around. So once we are through this part of the process, of course, as everybody in this market is well aware that Thyssenkrupp has a upon its technological capabilities, everything needed to scale up the businesses. At that moment, once we’re there with our competitiveness, we are totally committed, of course to making a positive big picture impact. And then we would prioritize, of course, our internal of resources towards positive close again. But at this point in time, we believe, it is about beating it. So then, now we can be a little bit quicker and you saw the documents talking about on the next page in order to make a difference on the leadership of the company. Of course we formed below the executive board and executive company to drive the transition from a centralized group to a powerful group of companies. And I think you have read it yourself, I will not lead you through the details. I think it speaks for itself. What is very important to us here is we have a comprehensive multiyear agenda, we want the CEOs of our units that they own, the total company’s performance of their group company. And we expect an experience in transforming their business and a relentless focus on priorities in leading the company’s assets back to value generation. So with this, as we come to the implementation of our initiatives and this is then Klaus, you are part of the story. Thank you.
Klaus Keysberg: Okay. Thank you, Martina. So, let’s have a closer look at the milestones that we have achieved and the restructuring completed or initiated in the past few year. When we started the transformation, we said that we will turn around every single stone in our company and as you can see, with the numerous initiatives across all segments, we kept our work. About a year ago, we initiated restructuring at systems engineering evolving 550 FTEs, however, with a market situation in automotive systems engineering remaining extremely challenging. Further restructuring was niche. Hence we recently commenced the operational realignment, we think the business is a two independent companies powertrains and bringing structures and administrative costs in both parts of businesses in-line with market length, realizing an additional restructuring of around 800 jobs in the current fiscal year. Moreover, with a presentation of steel strategy 2013 March, we announced cost reductions and job cuts 3000 job of which 1,000 already we achieved until the end of 2020. This was followed by an extensive restructuring plan for the German springs and stabilizer sites, and on the plan around 400 jobs will be impacted by closure of by the end of 2021 and streamlining the [indiscernible]. The corporate headquarters restructuring also progress as planned. As of April 1st, around 200 FTEs decided to join the transfer company or leave directly bringing us closer to our target of the lead Holding. One of the last announcements in August effective adjustments in our cement including the reduction of 460 FTEs worldwide. Despite the substantial programs that are finished, underway or announce, all of our businesses will have to accelerate their initiatives going forward. Consequently, we increased the previously announced target of 6,000 FTEs to 11,000 FTEs to be accomplished by fiscal year 2022, 2023. Another important step was the introduction of our group of company’s concept in May sharpening our target portfolio with a clear focus on industrial logic competitive profitability and cash flow. With that, we also announced the newly created Multi Track segments including businesses, for which we see no substantial future prospects within the group who might do better in partnerships of which closure might be the best solution. But it will also be an entity for managing investment in businesses such as OSP, our former elevator business. And last but not least, a big step was the termination of our disproportionate balance sheet data driven networking capital measures towards ongoing continuous management, which is an essential contribution to our cash flow. As already said, we only accept targets for our businesses, if there was a consistent and solid concept behind, and in the past 12-months, we already kept some 3,600 jobs in the previous fiscal year and our existing restructuring pay off roughly 1,600 jobs in revenue and 2000 jobs in the rest of the world. And in fact, we have actually gone further, as of September 30th, the total of 5,700 no longer compared to the previous year. A simple much, we wouldn’t have to cut another 7,400 more jobs over the next three years to reach our new target of 11,000 by 2022, 2023 with the majority of costs specifically from FTEs in Germany and the remaining 2,100 in the rest of the world. But at first we have to incur the cost of payout and this will ultimately support our performance through a sustainable savings ramping up from a high two digit million euro amount in the past year to a low to mid three digit amount in the current fiscal year and in total mid to high three digit amount in fiscal year 2020. Again, let me be clear, the target of 11,000 employees is only a snapshot from today’s perspective, heavily depending on our further calls with businesses hence this figure can also trend upwards. This is the last restructuring process and the largest plant reduction in the number of employees [indiscernible] and we will work fundamentally on further measures and also has been during the years [indiscernible]. Coming to the financials for fiscal year all continued operations. Not surprisingly, the pandemic had the key impact on the top-line, especially pronounced in absolute terms raw materials as well as on our current truck components business. However, we see indications for an ongoing demand recovery, especially from the automotive side, giving us reasons to be cautiously confident. Q4 already showed sequential improvements at almost all businesses, which is very likely to continue in fiscal queue. Unfortunately, this is not reflected in last year’s bottom-line with EBIT adjusted significantly weakened year-over-year is despite extensive measures to use customer business, including short-term working. With slower development prevalent in the materials and automotive components businesses, and the beginning of the fiscal year, the impact of the pandemic on demand on capacity utilization, additionally - added to this were the structural changes to the steel sector. To quantify the steel group - accounted for 820 million EBIT adjusted loss in fiscal year 2019, 2020 while the new created what is segment added a further 593 million EBIT adjusted losses. Consequently, free cash flow before M&A was sharply down year-over-year, besides the operating performance normalization of net working capital up to three billion, as well as the cartel fine - weighs down. Again, the Europe and what were the largest drag which together 2.5 billion negative business cash flow in the past 12-months. Here you can see our programs and like. And with that, let us have a look at the development of our balance sheets that experienced a strong push by the realized value of recites of the elevator sale by far outweighs the loss incurred by our continuing operations. Plus net income for the full group jumped to 9.6 billion. The continuing operations were, besides the operating performance heavily influenced by provisions for restructuring. In addition, we took risk out of our balance sheets to access and goodwill impairments of margin to roughly three billion especially pronounced for Europe and automotive technology considering a potentially slower than so far dissipated development in the auto sector. At year end, our equities stood at more than 10 billion, which now is more than ever important resulting in an equity ratio of 28% up from 6% earlier. At the same time, the cash inflow from the transaction turned our net debt to a net cash position of 5.1 billion, providing us a decent safety cash and we will be enabler for our operational and portfolio restructuring, aiming at returning physical to sustainable positive financial KPIs. Looking at operational performance in more detail, especially in Q4 as the automotive production was restarted in many countries towards the end of the quarter, the fourth quarter saw a quarter-over-quarter growth in order volumes, thanks partly to state stimulus packages and other initiatives and other incentives. Consequently, EBIT adjusted the automotive technology market gradual improvement quarter-on-quarter into almost all businesses. And we also saw some onetime, and which negatively affected the results of automotive technology. However, springs stabilizers and systems engineering was due to significantly limit. Industrial components delivered to positive earnings contribution yet lower quarter-on-quarter while components for heavy duty engines increase that EBIT, adjusted significantly by recovering sales, earnings and bearings were temporarily slightly lower, but on the high level. EBIT adjusted and car technology came in stable quarter-on-quarter remaining negative on the back of lower utilization and ongoing construction side costs that couldn’t be charged to customers. However, we see improvement year-over-year since a robust business and stringent G&A cost reductions are bearing fruit. Marine systems came in positive and up year-over-year, as well as quarter-on-quarter efficiency measures and cost reduction project execution continue to take effect. Nevertheless, earnings continue to be held back by low margins for all the projects. In line with recovering market material services saw an increase in its main product groups quarter-on-quarter with significant higher warehouse shipment, especially in auto related service centers in both regions, Europe and North America. Overall utilization at a mix remained below prior year levels with respective effect on margins. And as usual, we saw stabilizing market prices in the fourth quarter while shipments were significantly higher quarter-over-quarter on the basis of an improved utilization and better product mix even adjusted improved quarter-on-quarter yet remain negative and lower year-on-year. Last but not least, cost of corporate headquarter was stable quarter-on-quarter. But with significant improvement year-on-year, mainly due lower G&A cost. The pandemic still dominating and implications and durations of the second wave still uncertain forecasts for global economic growth and the impact on our business, particularly materials and components from cars and trucks are subject to major uncertainties. For fiscal year 2021 we expect sales growth in the low to mid-single digit percentage range well below the pre-pandemic level. Our expectations are of course dependent on the recovery of the global automotive market. But to make it clear, with this level we anticipate for 2021,we are more than 10% below pre-corona level. EVIOT adjusted is expected to improve significantly with structural advances being by far the biggest driver additionally supported by sales growth on the back of a recovering market. And as I explained before, with assumptions I just made before regarding the top-line growth. All businesses are expected to contribute positively with the exception of Steel Europe and what is keeping the groups even adjusted in the middle three digit million euro [Indiscernible]. Across all of our businesses, the strongest driver for envisaged upside for 2021 and beyond are the value levers. The leadership teams of all business have developed and committed to. These value levers are aiming and pushing bottom line as well as top-line in addition to the expected recovery of all market. The summer of these leavers are executed on the right side of the slide, we will walk you through each segment in a minute. Before that, I would like to touch free cash flow before M&A which is expected to be significant better, but still negative in the range around €1.5 billion. Turn it of course, by step up in operational performance in all segments, and the normalization of capital as well as defined in the - preceding. Ongoing payments or restructuring, and depending on the payment profile for incoming orders, as well as milestone achievement is a project that marine systems and start engineering, and considering higher payout for restructuring has already strong quarters. Important to mention here also is that as of October 1st, we tightened our guidelines for the recognition of special items by aligning it more closely with IFRS rules. So it will be more compacted and strict to make our adjustments very likely. Now, let us have a closer look together at our segments and how they will drive the aspect of growth. In this slide, just for your reference, you can see how we transition our portfolio to the new group of companies structure, which will may also be our important structure for the current fiscal year. Let’s start with material services, which will return to positive territory in the current fiscal year. For the segment excluding ASP, and some other small companies infrastructure, we expect EBIT adjusted to improve to a mid to low two digit improvement on the back of tariffs from market meaning higher volumes all by it from a low level and not yet returning to the pre-corona crises to be more precise. Ultimately in service with this assumption of top-line will be more than 10% below pre-corona level. However, the largest contribution will come from structural improvements. For example, with an prior G&A efficiency along the value chain optimization of our footprint and logistic concepts. In addition, we want to further reduce complexity by streamlining our portfolio and closure of sites. In order to push the top-line we will all roll our sales initiatives with materials processing offerings aiming at becoming more service focused business, especially our new growth synergy materials, the service will provide us with additional revenue streams, they are in higher margins and lower volatility. That is why we also target small scale M&A activities in the North attractive, that attractive North American market where customer’s key recognize and appreciate the extra value from our processing or supply chain management. Nevertheless, our traditional materials warehousing and distribution activities will always be substantial in the all business volumes. Overall, having all these methods in place, makes us very competent for the new fiscal year. And as always, if market turns more than, we will see what happens. Industrial components we want to foster our leading market positions on the back of an efficient cost base on the one hand, and with the support of a robust growth for markets. For the current fiscal year, we expect slight increase in earnings coming mainly from a significant improvement over Forged Technologies business and also from the stable high contribution of our bearings business. Industrial components is expected to grow slowly, but steadily, mainly driven by three market. First the wind energy sector, which shows promising growth potential longer term. However, we will see a temporary slowdown in 2021 as a result of forward effects in China from expiring subsidies. Second, the auto market, which is expected to recover significantly, however, not yet to be pre-pandemic level. Hence last, but not least, the markets for construction machinery probably remains stable globally, the only exception being China is expected to grow. Besides the potential from by nature uncontrollable market, industrial performance, we work on the control over internal drivers such as offering the proof product mix, a new product and service, for instance at bearings that are extending our existing production lines mainly in lower west coast countries, and continually improving our products together with our customers and that our Forged business by catching additional market share with the introduction of new services line for undercarriage components, or with our new and powertrain independent products for trucks for Industrial components. Industrial component leadership teams are fully committed to continue their path of constant and consequent cost control over the next year by improving everyone’s productivities and therefore reducing personal costs which also includes a structuring program, optimizing production costs and preparation with a debottlenecking or reducing purchasing cost by securing flexibility via multiple suppliers. Let’s turn to our automotive components business, automotive technology which is now operating in the new setup, including the spring and stabilizers, as well as the powertrain and battery solution businesses. The former systems engineering business which moved to the what is segment beginning October 1st. Automotive technology was hit hard by the pandemic and will therefore do everything in their power to return to profitability supported by stricter cost control and comprehensive effective measures. If we take a closer look at our expectations for the current fiscal year, we will see that we are targeting a mid to high two digit million earnings contribution, which represents a significant recovery from last year. [indiscernible] was severely affected by the significantly lower demand from customers to reflect these new market circumstances in our business plan. Leading the reevaluations and impairment not all being adjusted and thus included in our EBIT adjusted figure as I said before. We therefore expect earnings also to improve by the addition of these non-recurring -. In line of the currently highly uncertain environment also in the global automotive market, we are cautious about the upside for the market recovery at the moment. And to also give you an indication, the top-line we estimate for the current fiscal year will be more 20% or in the direction of 20% below pre-corona event. And therefore, concentrate more on the leavers as we actually can influence being the further ramp up of our new projects and plant mainly as steering and continues and consequent - by improving personal productivity for example, via restructuring. Here we are planning to reduce about 800 FTEs in the next or current fiscal year and with this target annual savings in a low two digital million range and also by enhancing the operational excellence for instance by reducing production costs while improving the quality or by carefully choosing the best quality, but also fast growth -. Marine systems we are quite positive on the operating perspective also on the back of Q4 order intakes with frigates for the British Navy as you already heard giving us. Top-line growth over the execution time of this order, moreover a further percentage will open from the submarine program for the Norwegian and German Navy and as a subcontractor to the intelishare where we are also part of a promising bidding process on - submarine program. We accept to receive both orders in the current fiscal year. In order to save that our margin, we run and even more division calculation and strict cost control over the construction time of each and every new order. And in addition to this we implemented a number of efficiency measures addressing among other performance enabled electronic systems, push performance and service, excellence in procurement, utilize efficiency gains from integrated products. For the current fiscal year, we will see a first slight uptick in EBIT adjusted for resistance from both kinds of units top as well bottom line which will become more than any going forward. Steel Europe. Steel Europe will also show a significant improvement in the current fiscal year however, we remain negative. With heavy place now being part of What is we expect EBIT adjusted to be negative low three digit million figures. Main drivers will be expected market recovery, leading to about 10% increase in shipment year-on-year, but also of course, being far behind the pre-COVID. With a clear ramp up of course we will also more higher margin focused for the auto sector. However, despite the substantial recovery volumes pre-crisis levels will be far not yet be reached as I said before. This in turn will result in a better utilization of aggregates with a significantly improved cost base in up and downstream operations as well as an improved raw material consumption moreover, but still high level of the iron ore prices could be likely potential push for steel price. In addition to market tailwind, we expect already sizeable effects from our new strategy 2030, with priority on accelerating of restructuring leading to a fairly unique two digit million range this fiscal year, more over we identified additional efficiency measures with additional sales potential on top of already identified measures related towards new strategy 2030. Much more important all these events will provide substantial upside also after 2021 and along side of course we will work to work and into neutrality, strong concepts like our internal new accounts up slightly. So talking about new concepts, we see our sales rep position to capture opportunities arising from the green transformation, as we are competing and partly leading in an attractive future markets and areas. Our bearings business, for instance, is technology leading in doing bearings, wind energy turbines by this we contribute to the energy transition. In addition, we intend to make full use of the enormous greenhouse gas reduction potential, hydrogen in steelmaking processes to be able to offer green steel to you to our customers. In order to transform toward the Climate Neutral steam production, we plan to use hydrogen in direct reduction plants and electric motors. Also, Power Co Op non-grain oriented electrical steel is a high tech core material used throughout the entire energy value chain from generators to electrical engines for e-mobility, thus offering us attractive growth. We are pioneering not only the use of hydrogen, but also play a leading role in its production processes as Martina said earlier. Our joint venture will provide engineers, technology and market leader for efficient electrolytes plants specialized on hydrogen production via alkaline water electrolytes. Demand side is growing significantly and we intend to profit from the expected expansion of production capacity. This year alone, project announcements for our hydrogen technology has doubled. In light of these effects, we are currently evaluating the continuation of the business with one or several partners, from today’s perspective we believe this to be a valuable option. Before we jump into the Q&A, let’s wrap up and see what lies ahead. In the current financial year, we have three strategic priorities. First Europe, there we explore all options for industry consolidation and secure financing to common utility production transformation. This is flanked by our restructuring initiatives, securing and pushing fundamental value. Of course, restructuring and enhancing performance is not limited to zero, but applies to the entire organization of our second priority. We will stringently improve performance across all businesses into high performing group of companies supported by the defined value leaders that are to be consistently bent up by concrete actions. Moreover, we will go towards realization of - order concept for automotive businesses as Martina already expand into what climate utility, including our hydrogen based fuel climate strategy take on - by an exploring financial options. To sum it up, we cannot drive the market, but we can drive our own performance and that is what we focus on. And with that we are ready to take your questions. Thank you very much.
Claus Ehrenbeck: Thank you very much, Klaus. Thank you very much Martina. And with that we want to go over to the Q&A session. And for this operator, please take over for the moderation.
Operator: Thank you very much. Ladies and gentlemen, we will now begin our question-and-answer session. [Operator instructions] And the first question is from Ingo Schachel of Commerzbank. Your line is open.
Ingo Schachel: Yes, thanks for taking the question. The first one would be on the next step, what we should expect for the Steel Europe business. I think on the first call, you were was saying that you expect clarity on the way forward by spring next year. Just want to understand what that means in case of a standalone solution, where you would decide you have to develop the business on your own. If that is the way forward would it imply that by spring next year, you would give us a more comprehensive announcement on your green steel strategy including and effect of price tag and size of investments and source of financing and explanation whether potentially the state would inject equity or silent participation or guarantee more debt or would it rather be that in spring, you would announce that you keep it and then develop a new standalone strategy on the back of that?
Klaus Keysberg: Yes. Well, thank you Schachel for the question. I think, let me start with this. It is a big one. As I said before, we said this morning, and you know we are in a process of examining what kind of industrial concepts would fit best to our steel. We have this, of course the standalone strategy and to be honest we have Steel Strategy 2030, which we think is a good one, of course, we believe in it. But of course, with the corona going forward or let’s say having corona in place, we have to face with strategy maybe with lower volumes and at least for certain period of time, and this is something we have to work on. So, this is the one thing. The other thing is, of course, we always said that we are looking for the best concept to create value, and this is of course, the reason why we are talking also to other producers for a potential corporation. And this is the stages where we are in, and we think that we cannot do this too long, because we have to have clarity for capital market, for our sales, for every use. And therefore we decided that we have at least in spring next year that we know in which direction to go. The precise question you asked, whether we then able to give you a number, what kind of subsidies or what kinds of money you get from state to finance the transformation, this is not what the intended to say, when we said we will be ready at spring 2020. It is more to give you a direction and a decision which direction it will go.
Martina Merz: Thanks Klaus. Maybe two more comments to avoid misunderstandings. In order to focus our teams we considered it being two steps for the time being. Step number one is through the practice of steel business as it is today’s environment, more or less. Now step number two is to transform our steel plants to green steel production. For step one, of course, as Klaus mentioned, we have to realize that the capacities required in the market might not be the same after corona as they have been before. This will lead from today’s perspective in a standalone approach to questioning of our today’s capacities installed, which you can imagine is a kind of holy cows discussion. But in this holy cow, as we called it this morning, no trouble anymore. Of course, the steel team is evaluating such option now, which they have not done before. With such an approach of course we compare external focus for our steel business, and then at the end of the day by March, we can come to a conclusion whether we believe a - some focused, stand alone restructuring is more promising than another one. Because as we always said, we consider this book as a very valuable asset. And of course to generate the value which can be expected from such an asset, we will decide then do we - in the dual track approach we will follow the external approach or will we follow the internal approach. That should be delivered by March, including then of course a kind of fast business plan. But that covers the restructuring phase, not the green transformation as Klaus mentioned. So, this is the step one approach. The transformation to green steel will then follow.
Ingo Schachel: Okay, that is very clear. Maybe, and then just a sort of one on Steel Europe and I will skip the free cash flow questions for this time. But on Steel Europe I think you were saying, you want to ramp up the shipments of focus products by 20%? And the way you said it sounded quite simple, but it is probably not. Can you explain a bit more, I guess you were trying to tell us you are aiming to regain market share automotive steels, which drivers are behind it, is it really specific client wins, quality initiatives, or more aggressive marketing and pricing approach, because our impression was probably that you lost market share in the last few years. And now you are - it seems like confident to regain. Just wanted to understand what has changed or what is changing here.
Klaus Keysberg: I mean, in the first place, it is that we invest in our equipment and that we are able to go in the niches which the customer asking us to do. And so we will be one of not so much big producers who can really produce then this kind of grades in this kind of a product. And that is the reason why our way - this component goes into this direction, but also of course we see this is one thing. If you look at the development of the last 50-years volume development, we had a big reduction, a very big reduction of more than 30% roughly, in this area of product. And I think the main reason why we now think we can go in this direction is that we clearly only catch up more or less the volumes we lost last year. I understood your question to go more in the midterm range. In the midterm, I think you know our strategy. And of course we will also increase our let’s say share in automotive special grades and this is of course the reason why we do the investment and this is not of course in the current fiscal year this is going more midterm.
Martina Merz: And as you mentioned Klaus, I think we are somewhat convinced in all the discussions that it was transformation probably one of the biggest is called the relative market positioning of Thyssenkrupp in this high space is required for electro mobility going forward is a relatively good one. And so this is let me say this is our crown jewels and the market demand for this focused crown jewels is growing.
Klaus Keysberg: I mean, compared to other competitors, we lost quite a lot of volumes and quite a lot of margin. And it is because our automotive exposure. And what we see now is coming back and if I look at the current situation in the current fiscal year, we can commit that we are in a good way.
Ingo Schachel: Okay, understood. Thanks so much.
Operator: Next question from Bastian Synagowitz [Deutsche Bank]. Your line is open.
Bastian Synagowitz: Yes good afternoon. I have got one question and just again to follow-up on the steel business. So if I just try to keep track with the restructuring effort here, I guess relative to the - business, the amount of restructuring that was needed, and the amount of restructuring as it needed, I guess your restructuring provisions in the business still appear pretty low, just considering the headcount impact as well, which you had maybe from the corona measures, I think there was not much change on the employees but either. I guess for business, which is burning 1.5 billion in cash and more than 50% of the company’s market capitalization of the speed of restructuring given seem to be so high. The reason for that, that you are basically waiting for the possible strategic solution for the business or the union pushback which you are facing at the moment, still just too strong and does that allow you to basically pick up speed?
Martina Merz: I think if I would say no to your question you would anyone not believe it. So of course…
Bastian Synagowitz: So what is the answer?
Martina Merz: You know I do not want to create unnecessary changes. But I think we see it normally and this is the case of course, you know we consider managing for fundamental crisis like we are in, require in itself co-management between the key stakeholders. And I think the path shown in the last year show that we were able to go in relatively high speed through this entire program. On the steel community we had to face and I saved myself, because I was new with the company in a ways. The steel guys, they went through this catastrophe of a five year standstill almost in the in the negotiations with the Tata joint venture. And this led through to a difficulties when we wanted to renegotiate the Steel 2030. We signed the contract directly after the sale of elevators. And we were all in the Executive Board together with the Steel Board totally convinced that up that in order to upgrade our steel production to a more valuable product portfolio to market and of course for much better operational efficiency in the plant. That is the right thing to do. But we did it with 11.5 million ton capacity. And of course, our guys in this book, they try to protect this capacity. And as I said before, we are now on the way to renegotiate these contracts, which we discussed yesterday with our Board. And this is a kind of break for yes. And you could say yes, we were all in a way bound by these discussions about external options for steel. But the Executive Board felt to investigate a consolidation in Europe makes sense as a first step before we decide what kind of capacity we would want to invest in finally. This might look now as if it was the union, which led to this - let me say to this time need it now. But actually it was a matter of prioritization to say, okay, we have to accept that the capacities will not be needed anymore maybe, but it is valuable to investigate whether a consolidation creates more than you then a standalone pass. So, it was not the union, it was also us. But it was not so easy after the five-year [indiscernible]. So, maybe we could have been a month quicker, but not one month, I mean it could have been one month, a week or two but not five or six, and now we are balanced it is now okay.
Bastian Synagowitz: Okay. Thank you. That is very good color. Thanks for the background. I have one more question on CapEx and capital allocation. If we just look at your financials on a high level, your depreciation line obviously now growth like 2.1 billion post write-downs and your CapEx obviously rises to 1.6 billion. And I guess if we look at the situation overall, the spending above the depreciation level or significantly above the depreciation level obviously listed for the business to generate any cash. Is there just any prospects as to how the CapEx line and I’m talking about the current structure before any further portfolio reviews is actually coming down in the next say two or three years, rather than in the next 12-months or just one billion depreciation level, maybe it is slightly misleading in terms of what will be the sustainable requirements of CapEx spend for next year two to three years?
Klaus Keysberg: Yes. This is a good question. First of all the one billion in depreciation is after the write-down of [indiscernible]. And what we see so far is following. So, we will divest the elevated business to enable the rest of the business and not the branch of the rest of the business but the focus business we described. And I think this is why we started, so we now see good investment opportunities and this is what we let’s say, considered in our way forward in the plan. So, in the number, you said, there are some structural issues in IFRS 16 of 100 million and we have let’s say other effects, so of course which leads to another view on it. But of course, we also have in these numbers, the additional investments from coming out from Strategy 2030, which we want to do, and other investments also for instance bearings and we released recently quite huge amounts in investments let’s say further investments in China and other countries to really serve the growing market. So then of course we know that this is let’s say more less critical in situation where we are in. But this is the reason why we say, we have the elevator view, and we are investing in this because most of the businesses in the past were under invested. They were in the past underinvested and they invested less than depreciation, not for steel but for the other businesses we are talking. So, but then we come to the process. Our process of course, there is a number now. During the year, we will have a close look on this. And if a business is not performing, if a business is not performing the cash once in the cash plan, they will not receive this amount of money we are planning. This is very clear. So we will be more strict to do so, but in principle, you want to enable the businesses to do their logic strategic investment. And then, I want to make the interview is that we will be very flexible in adjusting these numbers. And what is the amount of investments and the nominal amount of investments. I mean, having in mind this investments was for Europe you know that is €800 million in six years, you can imagine this that if you divided by six years this is of course on top investment. But let’s say in fact this will come to quite normal level of depreciation or a bit more of another businesses.
Bastian Synagowitz: Okay, thank you. That is it helpful. Then, one more question on your hydrogen business or electrolyzer business, which, you started to talk about more just in the last couple of quarters, but generally, it is still a business, which is probably not just underappreciated within your group, I think certainly underappreciated in terms of valuation. I mean, if you look at a couple of hydrogen companies out there, they are pretty crazy variation levels. Now, however at this point, I guess it is still been flowing very much below the radar when it comes to Thyssenkrupp and yet you are obviously world market leader in water electrolyzers by installed capacity. So, what are the options you are basically looking into to maybe create value for investors from this site, because it is absolutely clear that there is a lot of value potentially in that unit.
Martina Merz: Yes. So, I think we took just recently the decision, because you know that the water electrolyzer business is part of our CPT business segments and we will trying to find out what is the value we might get for that business. So, it is part of our what is. Interestingly, I have to say we were somewhat surprised by the offers we got. Considering what value people see in this business. So, this all led us to the conclusion that we will not sell this business instead we will develop this business with us remaining at least a significant shareholder, not to say the biggest shareholder. But we are going to investigate several options, how to develop the business, possible ownership structure for the business, because as you said, this is a definitely a tour and we will come back with more details on this also in the spring, we have projects running now to evaluate, but yes, we believe we have a significant value upside in this business. Our investigation tell us that this is far beyond the one billion business value already now. So we are asking ourselves in both direction we could lead this business to really get this when you uplift to its maximum, and you know to create a bit fantasy for all of you in discretion for Thyssenkrupp the long-term why. Thyssenkrupp would have - if we would form a green tech segment, we would already have a significant sales amount in a green tech segment. And you can imagine that Claus and I have this in mind, but we believe at this point in time, we have to focus our entire organization to actually process and push the organization for this painful process, before we talk about a possible future in other segments. So we really definitely believe that it is not a good time to share our ideas, we want our organization to focus on the top priority and that is free cash flow positive and competitive and margins in the business we want to hold. And next year in May we will come back to U.S. later with this is long-term perspective. But yes, hydrogen is for us, is a value driver, a significant one. Let me know if you would not share this decision that we should prioritize on performance and restructuring.
Klaus Keysberg: Does this answer your question Bastian? Okay, with that, I think then we can go over to the next, the next one in the row. So operator.
Operator: Yes, sure. The next question is from Seth Rosenfeld from Exane BNP. Your line is now open.
Seth Rosenfeld: Yes, good afternoon. I think that was Seth Rosenfeld for Exane. If I can ask you a couple of questions on autos, please. Your commentary on demand conditions strikes me as being a bit more possibly heard from many of your peers and backing with auto technology? And then of course, feel Europe. You touched on earlier from the challenges within steel or auto technology particular. Can you walk us through what perhaps contributes to this router caution? In particular I think you said earlier, you expected top line 20% below pre-COVID levels. If you can give us a bit more color on demand and your feedback from customers. That is a great place to start. Please, I do have the follow up. Thank you.
Klaus Keysberg: I mean, if I started with 20% below, I said in the direction of 20% it is a bit little, something like this, but below pre-corona level as indicated before. Do you want to say something?
Martina Merz: Yes, I think the automotive market via as Klaus mentioned. First I think our overall positioning is a relatively good one, with our business segments in the automotive market we are really in we have to shell off marketing several regions. And with this we showed already, even in the last fiscal year goes beyond the market close. So, it is always difficult to provide the details compared with corona because, yes, there will be lot of previous yield, but still better than corona figures indicated. So we gained market share, actually. So at the end of the close business is satisfying and we believe, as Klaus mentioned, that for the time being to claim this model with goal for the future is necessary for us because our first and highest priority with you and our shareholders is we promise that we deliver. So, we did not want to now let me say pump sales into our figures which we would believe might be too high. So, we have a relatively cautious planning going forward and as promise and deliver. And with that regaining trust with our stakeholder is a high priority for us.
Klaus Keysberg: I mean when we made this planning, I think it was spring or summer something like this, and in that time we were of course, like everybody a bit cautious and I think it was good that we were cautious. And now after the summer you know this volume developed better-than-expected. And this is also a trend we actually seen that it is a better-than-expected. But, I would say we are now in let’s say the last quarter and calendar year and we know it is interesting thing like this. But nobody of us really knows what will be the demand in next year. So, therefore we have to be too cautious that is the reason why we stick with these numbers.
Seth Rosenfeld: Okay. And one follow-up please. Within technology, actually there is quite large one-time charge recorded in Q4. My understanding this might reflect some quality issues in the business. Can you give a little bit more color on what drove that charge and how would you think about the ramp up progress of various facilities and growth drivers moving forward? Thank you.
Klaus Keysberg: So, this was an effect on the percentage of completion. It was depreciation, and it was depreciation and a provision for quality issues, but it was minor one.
Martina Merz: But maybe this was actually on the R&D depreciation.
Klaus Keysberg: Which we did in light of let’s say of the reflecting of the items we saw, that is the last 50 yet.
Martina Merz: Yes. So, I think you know that we had a very kind of cleanup of our balance sheet, which was clear to us since we sold the elevator business that he used this once in a lifetime opportunity to clean up all of these extra items, within our balance sheet and one of this was R&D depreciation Klaus mentioned. So this was no surprise to us.
Klaus Keysberg: Nothing that should worry us in the future.
Seth Rosenfeld: Okay. Thank you very much.
Operator: The next question is from Carsten Riek from Credit Suisse. Your line is now open.
Carsten Riek: Thank you very much. Two questions from my side. The first one on the free cash flow outlook, around 1.5 billion for fiscal year 2021 looks rather cautious. Did you include any potential order from Marines and the prepayments for it? Just a hint on the Norwegian submarine order? And what setup in CapEx we talked about in 2021 from chart 38 that suggest somewhere around 200 million, but I might be actually wrong. That is the first one.
Klaus Keysberg: Yes, so good Carsten. I guess potential payments are included in this number. And there are also included in this number higher CapEx volumes than in the current and in the previous system. But as I said before, this is something which we will have to develop over the way. So this is something we need at the moment plan, but let’s see how it will develop. So this information was quite okay. Cautious or not we will see at the end of the day.
Carsten Riek: That is fair. On the second question was actually on the electrolyzer business the EOD business? Because my original question was, where do you want to put it if you want to develop it yourself? But hearing now, it could be your own segment? Just thinking about that would be a wise decision to do the second step before the first step. Because strategy wise, you need to clean up the portfolio before you add. Because what the market needs to see is actually a turnaround in the cash flows and that would be a nucleus and it could be developed. But we don’t know yet. So isn’t it not too early to think about this? And do the second step before the first step? What is your view here? Because even if you get something for the business right now, and for the other business, I think the market doesn’t actually reflect anything in your share price for any of the disposals of the Multi-Track businesses. So I would say, executing on the market track business should be right now, the most important one. And then once this is done, you can think about what is left and do you develop it yourself or do you wind it down, or whatever you do with this?
Martina Merz: I think you will see a - pretty likely are executing on the Multi-Tracks businesses where we are looking for what we call the best order concept. And the only exception is now on how to one is the participation, our share in the elevators business. And the second one is the CPT business means the water electrolyzer business. These two businesses are not in the process to be repelled for joint venture or sale. And what we do exactly as you said with this order business, we will see but we are sure at this point in time that the value we can create, possibly alone or together with somebody as a minority or majority shareholder has to be assessed.
Carsten Riek: Okay. Perfect. I just jump back into the line . Thank you.
Martina Merz: And of course, as you said to push these businesses under the line is one of the top priority for this year. I mean the Multi-Track businesses to develop the M&A process is going on to a point that it push them below the line before the end of the fiscal year is of course one of our top priorities. I think the appeal better [Indiscernible] and they do not want to have files to do file phase and there is no need for the file safe.
Carsten Riek: Okay, understood. Thank you very much.
Operator: The next question is from Rochus Brauneiser, Kepler Cheuvreux. Your line is now open.
Rochus Brauneiser: Thanks for taking my questions. I have follow-up on steel, I guess you talked in length about the strategic evolution and multi stakeholder influence of the stakeholder in the further development of the steel business. What I would like to understand is the relative preference for consolidation or standalone option in steel. So, you are saying your plan to have a decision by spring what we have seen in the last couple of weeks or months in the European steel industry, that there has been a growing dynamic in terms of consolidation. Obviously, some of the companies could talk to talking to each other, how shall we think about difficulty, but it is only being finally decided in spring what it is that this offer is not there and what they pointed in spring, we would rather talk about a kind of a standard of contract? The second question is on the guidance are given for this year, is this given under the current scope of consolidation and or are there any certain differences already implicitly considered? And following the impairment is here do we then need to consider further impairment risk for these what is businesses or for Steel Europe?
Klaus Keysberg: So, let me start with the basics. So, that this is a dependency, we know that, the system behind it and there are 60 ameliorated by the current planning and the auditors have discussions with us whether it makes sense or not, so, we do receive degrees to further here make right also something like this, this is a very actual evaluation. So, this is all the numbers. So, what is the other things you asked them what is what is the preference and what is his overall situation in steel? Of course, every European player, I guess, has his own option like and everybody more or less is talking to everybody this is this is how it works. And we also say that we really do not comment with you, I think you will appreciate it. And we do not really comment or let’s say make a comment on what kind of option is not the best one or which we prefer because it really depends on how we develop. So of course, yes, we have this liberty and we probably have also other options. At the end of the day, we also have a standalone option and we will see during the time till spring next week, what kind of options will be the one who creates most value. And then we are going to decide this is the plan. So it is really too early to say so and this is everything I can say to this. Yes.
Rochus Brauneiser: Okay. On this impairment question. I think I understand that when you do the planning for the next years, and you have low expectation that has impact on the devaluation of your efforts. But when you are in a disposal mode, and many of these Multi-Tracks are potentially up for sale, so the scope is still a difference between how you see the business on standalone and on basis where potential exit door? So, I’m trying to understand whether these impairments were closer to the next three years business planning or to what you currently see as a price tag in the market.
Klaus Keysberg: Yes. So as every time impairments on these are more on the pre-year business plan models. And at the end of the day, when we are talking about Multi-Tracks and balance sheet trust is very open say where we have equity or not. It is something we really cannot say at this point of time or even again nobody knows.
Rochus Brauneiser: Okay makes sense. Maybe one final follow-up. On this accelerated staff cuts to 11,000 and incremental 11,400 can you give us that split how this is impacting the business or how steel is being affected by that?
Klaus Keysberg: The line was line was quite bad. Can you please repeat that? Okay. The 11,000 people, out of the 11,000 FTEs 3,000 are coming from Steel Europe and so this is the number which is included. There is the one we already identified or defined during the Strategy 2030, so it is part of the Europe which is included in these numbers. It is an old one. So, as we said before we are in discussions. And as you know when we are in discussions, we are not talking too much about the potential outcome but we can confirm that we are in discussions for further measures.
Rochus Brauneiser: Okay. That is fair enough. Thank you very much.
Operator: Your next question is from Luke Nelson from JPMorgan. Your line is now open.
Luke Nelson: Hi. Thanks for taking my question. Firstly, just on provisioning, you have guided to mid three digit million impact for this current financial year. Can you give an indication on the additional restructuring charges required out to FY 2023 to achieve your savings targets?
Klaus Keysberg: So, did I get you right so the question, the line was not good. So, you asked, how much the restructuring costs we will have to bear in the next three years or in this year?
Luke Nelson: Correct. To get to the FY 2023 target, savings target.
Klaus Keysberg: If you talk about the expenses, it will be roughly, low to mid-three digits million number. Starting this year and most of it will be this year and some of these also may extend into the following year. You can see depicted on slide if showed in the presentation, it gives some kind of guidance, what you can expect from us going forward. You see the number for 2021 and also you see then the numbers for the year there often. So you can...
Luke Nelson: So the low to mid-three digit in FY 2021 should be thinking at similar quantum, in the year or two out for out for 2023.
Klaus Keysberg: So, the payouts in 2021 will be higher than last year. You paid out last year, 200. So it we are going to payout consistent year for that, something between 300 million and 400 billion and the restructuring provisions for this headcount reduction is let’s say, it is 200 million plus from today’s point of view. Of course, it can go up depending on what you are doing also going forward. And if you know these numbers, then you can make your guess for the numbers going forward.
Luke Nelson: Okay. perfect. Second question is maybe one for Martina. You mentioned the new structure will make the business more profitable and specifically talked about turning the business of returning the business of being free cash flow positive. Just based on these FY 2023 sustainable savings that you’ve outlined. And in the context of the CapEx remaining above DNA. Do you think it is enough to return the business to being positive free cash flow on that time horizon without any market tailwind, helping the business from what you are expecting FY 2021?
Klaus Keysberg: Maybe I can start. So, first of all, free flow is of course also made of how much COVID is going to impact us. And you know that we are planning in certain scenarios, we have a scenario, which what is the leading one. The leading one. We have the better scenario and the worst scenario. But the one we are, we actually have with the leading one is one where we have in 2023 sales volume or top-line, which is a bit more than pre-corona. And the big businesses clear mix and what technologies in this scenario, are not above pre-corona level in this scenario. But even in this market scenario, we will be able to earn positive free cash flow and in this period of time, and but to be honest, it will be better and sooner. So, this is something we clearly have to work on. So in this scenario is only reflected what we at the moment has in the light of the given market scenario and the top-line scenario and the reception. So in this scenario, there will be a positive cash flow. But we also we clearly want to enhance it to be quicker and better.
Martina Merz: So as a Klaus said, I think your question can be answered with the clear yes. And still as timing of the essence, for us, as Klaus said we call our current case the model the case. And we announced this morning to our organization and yesterday to all our stakeholders. Our current what we called plan shows what Klaus described and what you heard from him. But we feel it still takes too long. So we are working on an improved plans still, is because we do not want to make promises we make our plans built on concrete actions and concrete measures. We do not pump hot air in anymore. And as you do not pump hot air in, we are planning until we reach our target. Now we called this process we plan, until we reach the target. And this is why we have just started a next round of planning in all segments and we have committed ourselves yesterday to our Supervisory Board that we provide an update, planning in the spring of next year, because I think once we would, we would lose momentum on this improvement task, we lose of course, then a set of momentum. So, we want now really to stay resilient and in a way also very disciplined on this important task. So, we plan with concrete measures until this plan reaches the target set. And as Klaus said, with this, we intend them to be better than what we have just recently announced as our plan. But we will not promise this to you today, because we have this holy statement to us saying the promise what we deliver and we only promise what is based on concrete measure bottom up in our organization.
Luke Nelson: Okay, and to maybe just one quick one, if I may. Just if you can comment in any way around the headlines a week or two ago around a capital injection potentially from the German economic recovery fund, and maybe why that would be necessary given obviously the balance sheet has been post elevators and your comments on free cash flow improving over the next two, three years?
Klaus Keysberg: Yes I can talk about what is going on in the media that you sometimes read, there is potential capital injection. What is true so far is that we are in talks with the government with Berlin and [indiscernible]. But of course, we are talking about several issues. We always said that for instance the financing of the transformation to green steel is something nobody can know steel producer can pay by their own cash flow. And of course, in addition to our restructuring investments and that this is a very costly one and therefore, we are talking to also to governmental places and what kind of subsidies could be possible. By the way, other steel producers are doing this also because they can also not finance the greens steel transformation. And therefore, we don’t talk about capital injection. If we talk to two official places here. But we talked with the government and everything is open, everything is open. And it has to be an let’s say intelligent mix of finance and we receive what at the end of the day will be will be done or not done. This is the story from our side.
Luke Nelson: Okay. thanks a lot.
Operator: The next question is from Ellen Gabrielle, Morgan Stanley. Your line is now open.
Ellen Gabrielle: Yes, hi. Good afternoon, everyone. Just two questions from my side. Firstly, is on this Steel Europe business. How much pensions and provisions metal facts are attached to that business to be considered if you are looking to potentially sell it and connected to that business? What are the requirements for that business in isolation for the next three to five years, including or excluding the green steel investment, that is my first question?
Klaus Keysberg: The first question how much pension is related [indiscernible].
Ellen Gabrielle: That is right. okay. Is that net of factors?
Klaus Keysberg: More or less yes. This is four billion net of that fees. The other question, can you repeat it?
Ellen Gabrielle: It is, what are the CapEx requirements of steel in isolation for the next three to five years, just trying to get a sense of the capacity of that business, including or excluding the green steel investments.
Klaus Keysberg: Of course in the next year we have a normal level of investments, which is roughly 500 million. And in addition, for the next six years, we have 800 million of these investments, which are linked to the strategy 2030 and also 600 million and let me make a guess, how much is in the next three years I think take 50% of it, or let’s say 40% of it. So, this is the investment level and the transformation in the transformation of steel, we do make investments in transformation. You know that we inject hydrogen to the best one and also in this three years period, we do not have considered as an investment into direct reduction regime technology. But this will come, we will do so until this will come, I think 2024, 2025, something like that and but of course, we are going for state aid to finance.
Ellen Gabrielle: Okay. Thank you. And my second question is on the steel plate business. If you were to consider shutting down that business, what will be the cash outflows that will be linked to that? And I think this is not your guidance for next year, is it?
Klaus Keysberg: Well, it is in the guidance. So, this is the first state, it is in the guidance and it is in the planning year and let’s say, the question is, it is part and in the guidance because, we discussed it as a two year of efforts I think this is something like that. And the number is, I don’t want to be precise at this point of time. So, it is something you can count by yourself. So, this is just...
Ellen Gabrielle: Okay. Thank you.
Operator: Your next question from Christian Georges from Société Générale. Your line is now open.
Unidentified Analyst: Thank you very much. I’m [Griffin] (Ph) in. On the steel scenario, and under your moderate case, you are referring to, is it fair to assume that in the first fiscal half you are having a higher level of operating loss, but is it possible that you may come to breakeven in the second half? You said as part of your other scenario?
Klaus Keysberg: You mean for the whole group or for steel?
Unidentified Analyst: For steel?
Klaus Keysberg: We do this and it was just calculation with the number which are conservative and we don’t really want to give you so much insights here at this point of time. If we talk about these moderate case, we will have, as I said before, a loss in the steel business and whether it is possible at the end of the year to breakeven, we will see. So I cannot say more.
Martina Merz: We think mark-to-market of course such a fixed cost steel is very fixed business high fixed cost. Relative to variable cost. So it is extremely dependent on market development. And as Klaus normally says, Here, it is difficult to provide precise forecasts actually.
Unidentified Analyst: Great. But if everything being equal, it would be fair to assume that from the second fiscal half of the year, some of the restructuring and the cost cutting structure being now would have an impact for a second half.
Klaus Keysberg: Not impossible.
Unidentified Analyst: Okay, And my second question is on your shipping - marine system division. And because you mentioned some potential offers or interest on stainless steel and other part of the business? Isn’t that an area where you are having all sorts of discussions, especially for merger and acquisition on the open scale.
Martina Merz: Yes, of course, in the Marine system we are actually, from our point of view there will be consolidation, there is actually we do not consider the standalone case, at this point in time being the one which has the highest probability. So for the time being we believe the consolidation, and it is either a consolidation within Germany, or it is a European consolidation. I think it is mostly known who it is in the term consolidation, of course, that would drive better market position for us the biggest customer which is Germany. And while in the European consolidation is definitely a better synergy case. There of course, you have good synergies, but probably no improvement in market position. So we are comparing both. There is not yet any preference visible, but we are in a very intense discussions now with the players involved.
Klaus Keysberg: It is a political thing for us. And we wouldn’t be we are quite self-confident that we think that we can run the business by all. But it is a political dynamics and this way, as Martina said, potential consolidation is small, it is quite likely. But it always takes two tangle. And the timeline is difficult to predict.
Martina Merz: So I just wanted to say, you might get the impression that we of courses as an everything, actually, it is not that we are causes and we are very cautious and not over promising actually business size, considering the difficulties for preview with corona cases. But with our strategic move, it is sometimes difficult for us to indicate because as Klaus said it is always two or three, the obtain singles and this has its own dynamics. But please remain and rest assured that we are avoiding cases that we become a victim of dynamics of others. So we try to remain in a position that we are as we say ahead of the curve, and the curve is not turning in a way against us. This is why we are extremely cautious in sharing details about cases will we speak results.
Unidentified Analyst: Yes. That is very clear. Thank you. And my last question was going back to a previous question about all these articles in German newspapers about occupations and identification sections, and you highlighting that you want to be intelligent underneath of finance, does this include the possibility of a overstate from a very obese adults and this is where the case no it is something that the board and your meant shoulders would be comfortable with.
Martina Merz: As we believe in free markets, I would say and I can speak for the two of us as an equity state of Germany in a company is to me something that I would always say is not a good idea. So, I do not consider that in any way a kind of relevance, I have to be very clear. We of course, want to develop the business and create value. And if there would be a case that will be see, let me say a temporary something support might make sense in order to accelerate a transformation. So, it would create value, because at this time, nobody would finance what people call DLT steals, banks, if we go to a bank and ask for a loan, everybody would take thanks, Martina was nice to see you again. And goodbye. But as we want to accelerate the transformation for cost reduction, it might make sense, but please rest assured, to me, such a situation is not is what I try to - actually, it is not that I like status, equity of Germany invaluable company. So we might we might have a situation at the end of the day, they will be discussed this, but it is not our preference.
Unidentified Analyst: Great. Thank you for your very key answer.
Martina Merz: But, please don’t tell anybody.
Unidentified Analyst: I won’t.
Claus Ehrenbeck: Okay, and with that, I think we have come to the end of our today. We would like to thank you very much for participating. We would like to thank you very much for your good questions and for contributing, and we look forward to staying in touch with you. And as always, for all the questions you might have after the call, the IR team is happy to be in contact with you. And we look forward to speaking with you next time.
Martina Merz: And thank you very much to helping us lead the company for this very important phase. And I think I can speak behalf of Klaus all our leadership team, not only you and myself. We know that tough time for you of being a Thyssenkrupp shareholder, and as said I would like to assure that we give our best to turn around this company as soon as possible. Thank you very much.
Klaus Keysberg: Thank you very much.
Operator: Ladies and gentlemen, thank you for your attendance. This call has been completed. You may disconnect.